Mark Grant: [Call Starts Abruptly] Vice President of Investor Relations. With me on the call today are Aman Bhutani, Chief Executive Officer; and Mark McCaffrey, Chief Financial Officer. Following prepared remarks, we will open up the call for your questions. If you would like to ask a question on today’s call, please use the Raise Hand feature in the webinar, to be added to the queue. On today’s call, we’ll be referencing both GAAP and non-GAAP financial results and operating metrics, such as total bookings, unlevered free cash flow, normalized EBITDA and net debt. A discussion of why we use non-GAAP financial measures and reconciliations of our non-GAAP financial measures to their GAAP equivalents, may be found in the presentation posted to our Investor Relations website, at investors.godaddy.net or on our Form 8-K filed with the SEC with today’s earnings release. The matters we’ll be discussing today, include forward-looking statements, which include those related to our future financial results, strategies and objectives with respect to future operations, new product introductions and innovations, partner integrations, our ability to integrate acquisitions and achieve desired synergies, and the impact of the COVID-19 pandemic on our business. These forward-looking statements are subject to risks and uncertainties that are discussed in detail in our documents filed with the SEC. Actual results may differ materially from those contained in the forward-looking statements. Any forward-looking statements that we make on this call are based on assumptions as of today, August 4th, 2021, and we undertake no obligation to update these statements, as a result of new information or future events, unless required by law. With that, here’s Aman.
Aman Bhutani: Thank you, Mark, and thank you all for joining us today. At GoDaddy, our mission is about making opportunity inclusive for all. We are committed to making everyday entrepreneurs successful through bold innovation and disciplined execution, we will succeed in our mission. More than 20 million customers rely on GoDaddy’s seamless and intuitive technology, highly performant products and world class customer care to help them grow their business online and offline. As I look back at the last quarter and the last year, I am most proud of the acceleration in innovation at the company, even in the face of a pandemic. Our teams have done a fantastic job delivering new functionality for our customers and every quarter we are delivering more. Today, I will highlight some of those key product launches driven by the increasing velocity of experimentation in every part of our business. I have never been more confident in our ability to deliver value to our customers faster and drive long-term financial results for our shareholders. The vaccines had provided a new normal, but now we find the world challenged by the Delta variant. We’re staying vigilant regarding any short-term impact from the difficulties our customers continue to face coming out of the pandemic. As I look at the rest of the year, and given our history of providing prudent guidance to our shareholders, I am confident that following a strong first half, we remain on track to achieve our full year financial targets. Our core focus is to drive value over the long-term through continuous improvements in our products and services. The long-term secular tailwinds in our industry continue to play to our strengths. As more people and businesses seek to sell their products and services online and offline, they need intuitive solutions and a trusted partner that can help guide them to growth. Our priorities are aligned with our customers, and they remain clear. First, driving commerce through presence, second, GoDaddy Pros, and third, innovation in domains. Everyday entrepreneurs look to GoDaddy for help with their number one priority to reach more of their customers and grow their business. It is also our number one priority and our investments reflect that. True to our promise, we have moved quickly this year with the launch of GoDaddy Payments, already available to all Websites + Marketing customers and managed WordPress customers in the U.S. Our ability to integrate Poynt and launch Payments quickly is a proof point of our platform-based approach to commerce and presence. We’re dedicated to creating a seamless and intuitive experience for our customers built on a common platform. That increases our agility and speed to market. As further proof, we’re already looking beyond Websites + Marketing and managed WordPress. We’re launching GoDaddy PayLinks and Virtual Terminal. With PayLinks, GoDaddy customers will finally be able to say goodbye to sending paper invoices. PayLinks enables customers to take payments from anyone in the U.S. through a secure link. And with the Virtual Terminal, they can accept payments through iOS and Android on their phone or tablet without a card reader, ideal for farmers markets, craft fairs and other remote sales. And we have much more coming. We are on track to launch GoDaddy’s OmniCommerce solution by the end of the year, empowering our customers to sell everywhere in their physical store, on their online store and across major platforms. And we have deepened our partnerships with the major platforms, especially Google and Facebook. GoDaddy customers can now display their product inventory directly within Google Search, Shopping, Image Search, and YouTube for free. They can also create listings and manage their Google Smart Ad campaigns directly within their GoDaddy Websites + Marketing dashboard. Customers can also manage their Facebook and Instagram ad campaigns from the same dashboard. Websites + Marketing continues to launch new capabilities including functionality for job listings, critical in the current environment, a robust FAQ widget, an enhanced email composer and much more. We have also completed the integration of Over, rebranding it as GoDaddy Studios. We’ve expanded the functionality as well, and now GoDaddy customers can seamlessly create content on iOS and Android, and leverage that content on social networks and their website. Moving on to our second priority, GoDaddy Pros. We continue to focus on creating a seamless and intuitive experience with WordPress, while maintaining flexibility for Pros. We are committed to driving real improvements in the WordPress ecosystem, and are thrilled to share that one of GoDaddy’s own led the release of the latest version of the Gutenberg editor for WordPress. WordPress has been the winning platform for Pros for years, and we are confident that WordPress will continue to be the winning platform for years to come. Earlier this year, we created a dramatically simplified onboarding experience, and we’ve invested to make managed WordPress even more performant. And we’re hearing from customers that they are noticing the difference. Our goal is to save time for Pros and inside the GoDaddy Hub we are seeing continued improvement. We are launching new capabilities in the Hub on a regular basis and we are particularly excited about introducing invoicing. With invoicing, Pros can bill their customers without needing a separate system. We also launched the new GoDaddy Pro brand in India this quarter and we are starting to see early signs of traction. India represents an enormous opportunity for GoDaddy, and we’re looking forward to hosting our first event for Pros in India, later this year. And for our third priority, we continue to see remarkable strength in domains, driven by innovation in our aftermarket business, as well as strong renewals and continued new registrations. As you may recall, in Q4 last year we introduced List for Sale and multiple improvements in domain search. These innovations contributed to the nearly 20% year-over-year revenue growth in domains through the first half of this year. In Q2, we launched Buy It Now landing pages for domain investors to sell premium domains faster and more efficiently. And customers have reacted positively to it. One major domain investor moved approximately 50 thousand domains to GoDaddy’s platform, and the improvement in their sales was so immediate that they decided to move over their entire portfolio of ccTLDs as well. The customer described the experience as an absolute game changer. We’ve also continued to enhance the experience for buyers, with an improved search in our Auctions experience. We’re thrilled with the outcomes in this space and excited about continuing to innovate. We’re also seeing good progress in scaling our GoDaddy Registry business. With the recent acquisitions of additional Top Level Domains, or TLDs, GoDaddy Registry now manages more than 240 total TLDs, and we continue to look for ways to out-punch our weight in the Registry business. I’m also super excited to share that we published GoDaddy’s first Environmental, Social, and Governance or ESG report in June. I encourage you to read our report and learn about the fantastic initiatives going on inside GoDaddy. We look forward to setting goals and reporting on our ESG results regularly going forward. In closing, we have accelerated the pace of innovation within GoDaddy. Our strategy remains centered on building incredible products and creating value for everyday entrepreneurs around the world. We are prudent stewards of capital and remain committed to delivering value to our shareholders. With a number of organic and inorganic investments, especially around commerce and our upcoming OmniCommerce launch, we believe we are positioning GoDaddy for continued growth in our top line and our profits for years to come. With that, here’s Mark. Thanks, Aman. It’s great to be here on my first earnings call as GoDaddy’s CFO. I’m two months in, and I can tell that there is something special about GoDaddy’s culture, people, vision and commitment to our customers. As Aman mentioned, there is an incredible opportunity ahead of this company, and I am very excited to join at this stage of the journey. I want to take a moment to discuss our financial results for the second quarter, and then I’ll provide an update on what we’re seeing now, and our financial outlook for Q3 and the rest of 2021. Q2 was a strong quarter, and that showed up in the financial results. Total revenue came in at $931 million, growing over 15% year-over-year, which includes about 1 point of currency tailwind. Our International business grew 19% on a reported basis, with approximately 3 points of currency tailwind. Business Applications was our fastest growing product line, increasing 22% year-over-year. We continued to see new customer attach, strong renewals, and existing customers adding additional seats of email and productivity solutions. Domains grew 18% year-over-year. As Aman mentioned, the innovation that the teams put in place late last year is driving performance in the aftermarket, which was a large contributor to the growth we saw in the second quarter. We are also seeing strong renewal rates from huge cohorts that joined last year and continued new registrations. And finally, hosting and presence grew 9% year-over-year, in line with our expectation of high single-digit growth. We continue to see very nice growth in our presence products like Websites + Marketing, tempered by slower growth in our legacy hosting and security business with continued year-over-year declines in social. Bookings came in at $1.05 billion, rising 13% year-over-year, with 2 points of currency tailwind. Strength in bookings in the quarter reflects similar drivers to what we called out for revenue. Gross margin came in at 64% in the quarter, in line with what we saw both last quarter, and in the second quarter last year. Product mix continues to drive the company’s overall gross margin, and we’re pleased with the 16% year-over-year growth we saw in gross profit dollars in the second quarter. Growth in both G&A and tech and dev expenses decelerated this quarter. As you’ll recall, there were some one-time expenses related to our Poynt acquisition that were recognized in T&D and G&A in Q1 that didn’t repeat in Q2. The growth rate in T&D remains above what we saw in 2020, reflecting the outstanding talent we added via the Poynt acquisition, and our continued investment in product development. Our marketing and advertising investment remains strong in Q2, though the year-over-year growth decelerated as we start to lap the elevated investment we made to capture the extraordinary demand we saw last year. Our growth and investment in the second quarter resulted in normalized EBITDA of $198 million, representing a growth of 22% year-over-year. Unlevered free cash flow for the quarter was $237 million, growing 27% year-over-year, driven by strong profitability, continued positive impacts from working capital, and disciplined CapEx investments as we continue shifting workloads to the cloud. Now onto the balance sheet. We finished Q2 with $1.4 billion in cash and total liquidity of nearly $2 billion. Net debt stands at $2.6 billion, below 3x net leverage on a trailing 12-month basis, and near the midpoint of our targeted range of 2x to 4x. GoDaddy has a strong liquidity position, access to both debt and equity capital markets, and resilient cash-generating operations. During the second quarter, we repurchased nearly 1 million shares for an aggregate purchase price of $81 million, and announced acquisitions in the Registry space. Our priorities for capital allocation haven’t changed. Our strategic priority is to grow the business, and we’ll continue with organic investment as well as through acquisitions. We will continue to prioritize M&A over share repurchases. That said, we still have approximately $1 billion remaining on our repurchase authorization, and we expect to deploy capital to repurchase shares opportunistically. Moving on to our outlook. GoDaddy has a strong, resilient business model giving us confidence in our ability to achieve our full year targets. Following a strong first half, we want to acknowledge the evolving impact of the pandemic, COVID variants and access to the vaccines and we want to be prudent with our guidance for the second half of the year. We expect our full year revenue to be approximately $3.75 billion, or 13% growth year-over-year. And we continue to expect unlevered free cash flow of $955 million or 16% growth year-over-year. While we don’t typically guide to bookings explicitly, we want to provide some color. We expect bookings growth to be a couple points below revenue growth in the back half of the year. Our forecast assumes that FX tailwinds will abate, and we’re facing tough compares. We expect revenue growth in domains to moderate, especially in Q4, exiting the year growing low double digits. We’re also facing tougher compares in the aftermarket as we lap the impact of the List for Sale tool and other improvements introduced in Q4 last year. The aftermarket, as you know, is a non-subscription business. We expect hosting and presence revenue to deliver mid single-digit growth for the full year. We continue to see low single-digit growth in our legacy hosting business. We’re also lapping very difficult comps in our higher-growth products like Websites + Marketing, and continued declines in Social. We also note that the moderation of the FX tailwinds will disproportionately impact this line. We’ve got a strong track record of driving growth, and our goal is to accelerate the growth in this category beyond 2021. We continue to expect high-teens growth in business applications for the year. With respect to investments and expenses, we continue investing in tech and dev, as we drive development of OmniCommerce and better scale our engineering and developer teams for long-term growth. Marketing spend is governed by returns, so we’ll continue to monitor and adjust based on the demand we’re seeing in the market. Investments here will likely be offset by continued leverage in customer care and G&A. For Q3, we expect total revenue of approximately $945 million, or 12% growth year-over-year with high-teens growth in business applications, mid-teens growth in domains as we lap a slightly tougher comp, and mid-single-digit growth in hosting and presence. As I wrap up my comments here, I want to express my thanks for the incredible welcome I’ve received from all of the wonderful people at GoDaddy, as well as our partners throughout the industry and our analysts. I will do everything I can to ensure that we are executing against all the financial and strategic priorities we’ve laid out, and that we’re communicating clearly and transparently with all of our stakeholders. I know I have big shoes to fill, and I’m looking forward to meeting many of you in the coming weeks and months as we virtually hit the road. With that, we’ll have Christie Masoner from our IR team, open up the call for questions.
A - Christie Masoner: Thanks, Mark. [Operator Instructions] Our first question comes from the line of Trevor Young from Barclays. Trevor, please go ahead.
Trevor Young: Great. Thanks for taking the question. Just on a segment basis, it seems like the H&P guide was a bit softer than prior commentary. If I heard you correctly, Mark, you said mid single digit growth for the full year. Can you help us understand what changed? And then also remind us to what the impact is in 3Q from lapping M&A, or is that more of just a 4Q impact? Thank you.
Mark McCaffrey: Thanks, Trevor and happy to elaborate a bit. Let’s start with – we’re facing tough comps when it comes to some of our higher product growth, right? Websites + Marketing and things such as that I would also say, FX is not working in our favor in the second half where we assumed we will not have the same tailwinds. And we continue to see low growth in our hosting and security. So that coupled together kind of has put us today mid single digit growth for the year. I would also add we’re being pretty prudent when it comes to looking at customer behaviour, especially as we get into the second half of the year. We just want to acknowledge there’s a lot going on with our consumers. And we think this is the place to be right now. As far as the lapping in Q3 and Q4, we see part of it in Q3 and the bulk of it in Q4.
Trevor Young: Great. Thanks.
Christie Masoner: Our next question comes from the line of Brent Bracelin from Piper Sandler. Brent, please go ahead.
Clarke Jeffries: Hi. This is Clarke Jeffries on for Brent. Firstly, I’ll say Aman, really encouraging to hear about the product innovation and how quickly the company has been able to iterate on the Poynt portfolio. It’s exciting progress so far. On that point, could you help us understand what’s the current level of adoption you’re seeing in Payments? And maybe what are some of your key strategies for encouraging adoption? Some of your peers have pursued transaction feeds for not selecting the preferred payment rails. So, correct me if I’m wrong, but you’re not doing that strategy specifically. So I just want to see where do you see potential for push versus pull strategies to increasing adoption?
Aman Bhutani: Thanks, Clarke. As you know, we’ve just launched GoDaddy Payments and we’re seeing a good reaction from customers. They’re excited, they’re clicking on it, they’re choosing the product. So it’s a great, great start. Overall, our timing on commerce was about getting to the OmniCommerce solution later this year, next year is about marketing and experimentation with pricing. So you’ll see us experiment with a lot of our models out there. And as we go through that, we’re going to pick what’s best for our customers and shareholders together. So no specific comment on various pricing strategies, but we’ve got to start and we’re going to try a lot of stuff out.
Clarke Jeffries: Great. And if I could have a follow-up for Mark, just could you comment on the legacy hosting and security business. Just what are the growth expectations long-term for that segment? How should we be thinking about the moderation currently in that segment? And is there an R&D push here, any kind of change in industry demand that we should anticipate for that segment going forward?
Mark McCaffrey: Yes. Thanks. And I’ll start with saying, a lot of the hosting and security is driven by traffic. And as in that particular area, we’re monitoring the traffic very closely. We think it will continue with low digit growth throughout the year. We’ll take a look at what the long-term prospects are. And I’ll just start with or say, I’m looking forward to checking in with everybody six months from now and looking at the 2022 guidance as we put it forth.
Clarke Jeffries: Great. Thank you very much.
Christie Masoner: Our next question comes from the line of Ygal Arounian from Wedbush. Ygal, please go ahead. Ygal, please unmute your line.
Ygal Arounian: Sorry about that. Good afternoon. So you guys had good outperformance in the quarter and just trying to think through the second half and the puts and takes. And I know you addressed it a little bit. So if I remember correctly last quarter, you talked about how we’d be facing some challenging comps in domains, but continued innovation there can keep growth elevated for longer. So, on the domain side, where do you guys think you are relative to that kind of target that traction that you talked about last quarter in terms of innovation and keeping growth stronger? And similarly on the presence side, I mean, we’ve got a lot of pieces coming together around commerce and the omni-channel piece is coming in later this year, and I know it’s still early on the omni-channel front, but payments and everything else. What are the things that investors should be looking for to get better confidence that that the Presence segment is growing faster and getting stronger as you put these things together. Thanks.
Aman Bhutani: Thanks, Ygal. Continue to be super excited about the innovation in the domains business. As I’ve talked about last time as well, we’re continuing to do more every quarter. And the goal here is to build the innovation factory, where we’re the leader in this space and we’re going to just continue to innovate. But we can only guide, what we see, we can’t guide to sort of future innovation. But it’s happening every quarter. Just this quarter, I talked about it in the prepared comments, we launched Buy-It-Now landers, and they’ve been adopted really, really well by our domain investor customers. So you’ll continue to see us do it. It’s just – when it comes to guidance, we’ll talk about what we see and what we know. And in terms of presence, we continue to see fantastic growth in – in our growth products like Websites + Marketing and managed WordPress. They’re still outgrowing our overall business, even though they have some really tough comps year-over-year, so super excited about the work happening there as well.
Ygal Arounian: Okay. Thanks. And if I could follow-up on the comments around customer behaviour. And you’ve had really strong customer behavior for – essentially since the early days of the pandemic. Are you seeing things changed or still down? I would think any kind of resurgence in COVID would kind of bring customer behavior even stronger, not weaker. Just let’s talk about from what you’re seeing there.
Aman Bhutani: At a macro level, obviously we’re all excited to have vaccine and be able to have a sense of normal, but these are unprecedented times. We don’t really know how customer behavior is shifting. And my view always goes to whatever changes we see are short-term, long-term the opportunity in terms of online and offline coming together as massive. Our customers need to get out there, they need to sell everywhere. We’re building a set of products, portfolio services that meet that need. We have a massive brand. So I’m just super bullish our opportunity long-term there.
Mark McCaffrey: Aman, I’ll jump onto that a bit. We continue to be really, really excited about the long-term prospects. But we’ve been prudent in the guidance, we’re taking a look at the market. We’re taking a look at the behavior and we’ll continue to monitor for the short-term.
Ygal Arounian: Appreciate the answers guys. Thanks.
Christie Masoner: Our next question comes from the line of Ron Josey from JMP. Ron, please go ahead.
Ron Josey: Great. Thanks for taking the question. Appreciate it. Aman, you might’ve touched on this earlier, but I wanted to ask a little bit more here just with commerce being a top priority overall and payments now live omni-channel solution coming. So maybe just asking as we exit 2021 and go into 2022, when these products evolve here, just talk to us about just the next call it, how you view commerce evolving on GoDaddy. Do you think we’re still into building out new products or now we’re in execution mode? I think you might’ve answered this earlier or at least unnecessarily, but I wanted to ask it maybe a different way. And then I want to also talk about the Google Merchant Center product that was announced, I think a few weeks back. Just talk about how this integration here could really play out going forward. Thank you.
Aman Bhutani: Thank you, Ron. And on commerce, as we’ve discussed, the strategy is about meeting a broad set of needs for our customers. And 2021 is the build here, we’re moving very, very quickly. We’ve got payments out there. I talked about PayLinks, Virtual Terminal. We’re going to have OmniCommerce by the end of the year. We’re talking about invoicing for GoDaddy Pro. So a lot happening in the commerce space where we’re looking at the customer need and we’re bringing it out very quickly. 2022 is the year of experimentation. It’s really too early right now to talk about what different things may happen there. We’re going to go-to-market, there’s a set of marketing experiments, set of experiments around pricing that we’re going to be working on. And generally the initial reaction is from customers where they see our products and they want to work with GoDaddy on it. And in terms of Google or some of the Facebook announcements as well, what we’re most excited about is creating a seamless and intuitive experience for our customers. For our customers to be able to go into one dashboard and manage systems, not just for their online store and with OmniCommerce there in store, but to be able to manage their spend on major platforms, all from the same place, all on look and feel seamless, intuitive, easy. That’s what we’re looking for. That’s what we’re most excited about.
Ron Josey: Great. Thank you, Aman.
Aman Bhutani: Thank you.
Christie Masoner: Our next question comes from Nick Jones from Citi. Nick, please go ahead.
Nick Jones: Great. Thanks for taking the questions. I guess, kind of two along the same line of thinking. I guess, Mark can you give an update on the kind of M&A we can expect. You made some acquisitions in domains, there was Poynt, I mean, there are other sizable acquisitions out there you could make? Or should we think about it more as tuck-ins? And then maybe separately, how do you think about partnerships in terms of kind of enabling SMBs to really utilize your platform to the fullest extent for those who maybe don’t know how to? Thanks.
Mark McCaffrey: Yes, thanks, Nick. I'll take that one. Really quick, obviously, we don't comment on ongoing M&A, but we will continue to look at opportunities that bring value to our customers. The one great thing about our balance sheet is, it gives us optionality to look at all sorts of deals. But we're not going to comment on anything currently. When it comes to partnerships, our ecosystem is extremely important. We will continue to look at that ecosystem and again, where it makes sense to partner with people in the market and everything is about the focus on the customer and bringing them value and ultimately strengthening that ecosystem.
Christie Masoner: Nick, please unmute your line. Our next question comes from Drew Glaeser from JPMorgan. Drew, please go ahead.
Drew Glaeser: Hi, this is Drew on for Sterling. So we've seen news reports that GoDaddy, well pass along the Verizon – Verisign price increase when it goes into effect in September. Can you confirm whether that will be the case and how you expect that to impact revenue and margins?
Aman Bhutani: Yes, the tradition in the industry has been for registrars to pass on that pricing. What's important about that with GoDaddy is that we have a segmented customer base and we take a nuanced approach to that pricing based on the type of customer. So we will be doing that the same strategy that we have done in the past. And I'll turn it to Mark to talk about the revenue.
Mark McCaffrey: Thanks, Aman. And we have built this into the forecast. We had it in all along these things aren't unusual and as Aman mentioned, we've traditionally passed them on. So they are in the forecast for the second half.
Drew Glaeser: Okay, got it. Thank you.
Christie Masoner: Our next question comes from the line of Deepak Mathivanan from Wolfe. Deepak, please go ahead.
Frank Volpe: Hi, everyone. Frank Volpe here for Deepak. So just expanding on that last question about Verisign price increases, I wanted to get your opinion on whether you expect industry wide adoption of these higher prices. And then on the registry business, do you see any other interesting opportunities or other extensions that you can eventually integrate with the products? I mean, if you can't disclose anything confidential, that's fine. Just how we should be looking at it, is this important here?
Aman Bhutani: Hi. Yes, I can take that. On the pricing for other players, obviously I can't comment to what other companies are going to do, but obviously the historically you can look at what companies have done probably got a pretty good idea. On the registry business, continue to be really excited about what we can do there for the industry as a whole. As I talked about last quarter, our first goal there is to get to create a scale and you saw us do a few acquisitions. We announced 240 TLDs. Our goal is to have a certain scale where we can experiment with innovative ideas. We do have a few ideas and I've talked about one or two in the past, but where as we get closer to them and customers likely see them, I'd love for them to get out there and then we can talk about them more.
Frank Volpe: Got it. And then just one more, if I can, can you give us some perspective on share buybacks the next few quarters and how we should be thinking about those?
Mark McCaffrey: Thanks. And I'll take that one. We always look at capital allocation and as we've said in the script, our priority is around accelerating growth whether organically or through M&A having said that we will continue to look at share buyback and be opportunistic and provide value back to our shareholders where appropriate.
Frank Volpe: Great. Thanks so much.
Christie Masoner: Our next question comes from the line of Naved Khan from Truist. Naved, please go ahead.
Naved Khan: Yes. Can you hear me okay? Just maybe I missed it, but did you guys talk about subscriber growth in the quarter [Audio Dip] how it compares to past few quarters. And maybe another question, you can help us understand and bit of summarize. Just a mix of e-commerce in Websites + Marketing roughly [Audio Dip] e-commerce, is that still the case?
Mark McCaffrey: I had a tough time hearing the question there. So I'm going to answer what I think was the second part, and then we might have do a repeat on the first part. I think you were asking for kind of directional guidance on the impact of e-commerce. I will tell you, well we're really, really excited about the launch of payments in the first half. And the launch of omni-commerce in the second half where we're not getting into the financial numbers, we're still looking at the impact on our customers. And if you could go back to the first question.
Christie Masoner: Yes. Naved, we lost your audio in your first question, if you could repeat the first part of the question
Mark McCaffrey: Into that matter, if I didn't get the second question, right. Let me know. It was kind of in and out.
Naved Khan: Let me try one more time. Hopefully, you get it now. So the first question is, just around subscriber, number four for the second quarter and how that compares with the growth in the past report that we have seen. And the second question I had was just around the mix of commerce subscribers. I think in the past, we've talked about the roughly 25%, is that still the case?
Aman Bhutani: Thanks, Naved for repeating the question. On subscriber accounts, we don't disclose that on a quarterly basis. So we'll share that with you at the end of the year and in terms of our commerce solutions, that part of Websites + Marketing customers continue to lean into that. We've continued to lean in and add more and more functionality. So that continues to do well for us.
Naved Khan: Thank you.
Christie Masoner: Our next question comes from the line of Elizabeth Elliott from Morgan Stanley. Elizabeth, please go ahead. Elizabeth, please unmute your line. Our next question comes from line of Brent Thill from Jefferies. Brent Thill, please go ahead.
Brent Thill: Thanks. There were some questions around Verisign price hike and how you tend this pass that through. Can you just comment on that intended price hike, and then secondarily Aman, when you look at the business apps high teens growth, could you just lay out, , the engines of, of how you're getting there, maybe if you could just talk to, you know, broader how, how, you know, what's underlying that confidence to get to that growth rate on the, on the business app side, on the components of growth. Thank you.
Aman Bhutani: Yes, sure. Brent, thank you. On the pricing increase with Verisign, what I talked about was that we have a segment of strategy. So we have different types of customers and we changed pricing at different levels for them. Traditionally registrars have passed on the pricing from registries. So there is a pass on from us, but as Mark commented, that's been in our guide. But it's a segment in nuance approach. So I just want folks to understand that about the company as a whole. In terms of the second part of your question, sorry, what was the second part?
Brent Thill: You think the engines of growth [Audio Dip] applications initiative.
Aman Bhutani: Yes, sorry, there's little delay. In terms of the business apps growth that continues to be a function of customers’ on boarding on our email products, both the Microsoft solution that we have and OX and us growing with our customers. But those customers do well are successful, is to see growth with them. We continue to be underpenetrated here. There's a ton of opportunity as we reach more and more customers as we make the experience. And what are there have been some on boarding improvements for customers that we've been able to do. We've come been able to continue to drive growth with existing customers and new customers there.
Brent Thill: [Technical Difficulty]
Christie Masoner: Brent, we're getting your – we're getting a breakup on your line. If you could try again. That concludes our call for the day. Thank you everyone for joining us and I'll turn it over to Aman for some closing remarks.
Aman Bhutani: Thank you all for joining. A quick thank you to all the GoDaddy employees for accelerating the innovation at the company and we look forward to talking to you next quarter.